Operator: Ladies and gentlemen, thank you for standing by and welcome to the Stoneridge Second Quarter 2020 Conference Call. [Operator Instructions]. I would now like to hand the conference over to your speaker today, Mr. Matt Horvath, Director of Investor Relations. Thank you, please go ahead, sir.
Matthew Horvath: Thank you. Good morning everyone and thank you for joining us to discuss our second quarter results. The release accompanying presentation was filed with the SEC yesterday evening and is posted on our website at Stoneridge.com in the Investors section under Webcasts and Presentations. Joining me on today's call are Jon DeGaynor, our President and Chief Executive Officer and Rob Krakowiak, our Chief Financial Officer. Before we begin, I need to inform you that certain statements today may be forward-looking statements. Forward-looking statements include statements that are not historical in nature and include information concerning our future results or plans. Although we believe that such statements are based upon reasonable assumptions, you should understand that these statements are subject to risks and uncertainties and actual results may differ materially. Additional information about such factors and uncertainties that could cause actual results to differ, may be found in our 10-Q, which has been filed with the Securities and Exchange Commission under the heading Forward-Looking statements. During today's call, we will also be referring to certain non-GAAP financial measures. Please see the appendix for a reconciliation of these non-GAAP financial measures to the most directly comparable GAAP measures. After Jon and Bob have finished the formal remarks, we will then open up the call to questions. I would ask that you keep your question to a single follow up. With that I will turn the call over to Jon.
Jonathan DeGaynor: Thanks Matt and good morning everyone. This morning, we are going to discuss our performance during the quarter, as well as some exciting news for the company. However, before we get started, I want to take a minute to recognize the fact that the global health crisis we are experiencing, just more than impact the bottom line for the company. It also directly impacts our employees and their families. We sought to protect our employees to the greatest extent possible. For example, we have partnered with local authorities to construct a field hospital in Manaus, Brazil and have instituted rapid COVID testing capabilities in our Juarez, Mexico facility. Our employees around the world have allowed us to continue to make progress as a company and to support our customers. I want to personally thank them for their dedication to Stoneridge during this challenging period. I will now begin on Page-3. On our first quarter call, we outlined several actions we were taking to respond to current market conditions and position the company for future growth. During the second quarter, we executed on those actions, resulting in strong operating performance despite significant revenue headwinds. We continue to focus on controlling the things that we can and responding efficiently and effectively to external factors. In the second quarter, despite a 45% reduction in revenue, relative to the first quarter, our detrimental adjusted operating margins remain in line with our expectations of approximately 30%. As Bob will discuss later in the call, we expect that the incremental contribution margins, we will see as production continues to ramp up in the second half of the year, will exceed the detrimental margins we experienced in the second quarter. We were able to limit cash burn in the second quarter to approximately $11 million, which was better than the $15 million to $20 million we outlined on our first quarter call. Our liquidity remains strong with total available capital of over $300 million. Based on current production forecasts, a continued focus on inventory reduction and efficient cash management, we expect third-quarter cash generation to at least offset the second-quarter increase in net debt. Despite challenges associated with COVID-19, we continue to transform the organization and position the company for long-term profitable growth. During the second quarter, we announced the exit of our sensor product line as we continue to focus on aligning our resources with the highest growth opportunities for the company. Due to the expectations for reduced end market demand for Delphi Powertrain and relatively core financial performance of the product line, we chose to redeploy resources to higher value platforms and technologies. One example is our MirrorEye platform. We have been able to continue to advance our MirrorEye progress with both our fleet and OEM customers. During the third quarter, we will expand our retrofit installation programs with three of our fleet partners, two of which have already been completed as of this call. Those three fleets represent approximately 6,000 trucks on the road today. In addition to the continued ramp up of our retrofit programs, we have partnered with Daimler Trucks North America to offer pre-wire options for retrofit systems. This pre-Wire option reduces retrofit time and it's a critical step in the adoption of this technology. Orders will begin for pre-wired trucks in the third quarter. Due to the continued uncertainty regarding the expected impact of COVID-19, this morning we will not be providing updated 2020 guidance. However, we will continue to provide additional details regarding our expectations for the remainder of the year, which Bob will discuss later in the call. Page 4 summarizes our key financial metrics quarter-to-quarter. Due to prolonged shutdowns or significant reductions in production, revenue declined by 45% from the first to second quarter, falling to just under $100 million. The impact was greatest at control devices, where sales fell by approximately $50 million due to the abrupt shutdown of most North American production facilities. Commercial vehicle production in Europe started to ramp up earlier than passenger car production in North America. However, sales in electronics still declined by approximately 40% or $30 million. Sales at Stoneridge Brazil declined by approximately 50% as the virus continues to have a significant impact in Brazil. As we expected, operating income was below breakeven in the quarter. However, we were able to manage detrimental conversion to approximately 30% as we focused on efficient response to -- to the rapidly evolving global crisis. We will continue to flex our cost structure, which we expect to drive strong incremental margins as global production returns to a normalized state. During the quarter, we remain focused on managing our cash position and we were able to limit cash burn to approximately $11 million versus our expectation of $15 million to $20 million outlined on the first quarter call. Our available credit remains strong while our net debt to trailing adjusted EBITDA ratio is 2.3 times. Turning to Page 5. While COVID-19 has a significant impact on the quarter, we started to see a return to semi-normalized production by June. We expect that the sales run rate at the end of the second quarter will remain consistent in the third quarter. As production continues to ramp up, we are starting to recognize the benefits of the cost reduction actions we executed in early May and remain on track to recognize the savings we outlined on our first quarter call. Relative to the first quarter, we reduced SG&A expenses in the second quarter by approximately $7 million, which includes a reduction in our annual incentive programs. We have taken the appropriate actions to right size the company for current market conditions and expect to continue to see those benefits for the remainder of 2020 and beyond. In contrast to reductions in SG&A, we have maintained our investment in engineering and advanced development. We will continue to invest in the platforms and technologies that will drive future growth and fund that investment through appropriate structural cost reductions and continued focus on improved operational performance. Moving to Slide 6. In addition to maintaining our investments in engineering activities, we continue to evaluate our portfolio to ensure that our investments are directed to the opportunities that will drive profitable growth for the company. As a result, during the quarter, we announced our intention to exit the soot sensor product line and focus those resources on other areas of the company. This decision was made in part due to the reduced market expectations for diesel powertrains and passenger vehicles as well as a relatively core financial performance of the product line. While this strategic activity was started prior to COVID-19, we took advantage of available capacity in our production facilities during the crisis to accelerate the exit of the product line. This is a good example of our leadership team's ability to quickly adapt to changing market conditions to drive our overall strategy and look for opportunities to take advantage of an otherwise difficult situation. We expect production to end for the product line by the first half of 2021.  Once we conclude the exit of the product line, we expect annual revenue to be reduced by approximately $30 million relative to our prior expectations. However, due to the poor financial performance of the product line, we expect exiting the product line to be margin accretive going forward. Although we don't anticipate any other significant portfolio rotations at this time, we continuously evaluate our portfolio, our return on resources and our opportunities to ensure that we are focused on the products and systems that will drive financial performance for the company. Slide 7 outlines the most recent IHS and LMC information for our OEM end markets. As a result of the ramp up in production from most of our global customers during the second quarter, the current IHS and LMC forecasts improved slightly relative to the forecast provided during the first quarter earnings call. Full year 2020 production, improved by 1.3% relative to prior expectations. Our weighted average end markets are forecasted to increase by 4.4% in the third quarter followed by a slight decline of approximately 1.7% in the fourth quarter. Looking beyond 2020, we are starting to see signs of recovery in our end markets as IHS and LMC are forecasting that our weighted average end markets will grow by approximately 16% in 2021 compared to 2020. That growth is led by North American and European commercial vehicle markets where growth is expected to be 25% to 30% followed by the North American passenger car market where growth is expected to be approximately 15%. Turning to Page 8. This morning, we have several exciting updates related to our MirrorEye programs. As we discussed on our last call, COVID-19 limited our ability to roll out larger retrofit installations in the first half of the year. As we have moved into the third quarter, our customers have been able to expand their installations. We have completed two installations of approximately 15 units per fleet and have another plan by the end of the quarter as part of a larger retrofit roll-off program. In total, the three fleets we are expanding our installations with represent approximately 6,000 trucks on the road today. One of the three fleets has indicated their plan to equip their entire fleet with MirrorEye over time. This is the first such indication we have received from our fleet partners. In addition to expanding on our retrofit installations, this morning we announced that Daimler Trucks North America is the first OEM that we will offer a factory-installed pre-wire option for MirrorEye retrofit systems. We continue to look for ways to reduce installation times and ultimately, make the system more broadly available to our end customers, the fleets. We understand that DTNA has already received orders for the pre-wire option from one of our existing fleet partners, and expect those trucks to go into production in the third quarter. As we move toward the launch of our first OEM programs, our customers will have several ways to make sure that there -- that the vehicles that they order or the vehicles that are currently on the road are able to take advantage of the MirrorEye technology to dramatically improve safety and fuel efficiency of their fleet. Turning to Page 9. As we've outlined previously, over the last three years, we have been awarded record new business and are in the process of launching a number of large programs that will drive revenue growth. These programs will drive organic growth. In addition to the growth in forecasted production in 2021 and the ramp-up of our MirrorEye retrofit programs. Over the next several years, we will launch a number of new programs in our powertrain actuation product lines in North America and Asia. Our existing Park by Wire programs, which began late last year will continue to ramp up this year before expanding with additional platforms in 2022. These programs account for approximately $40 million of peak annual revenue which is incremental to our existing base business. In addition, the launch of our Shift by Wire programs in China over the next two years are expected to generate an additional $25 million of peak annual revenue. In addition to our Park by Wire and Shift by Wire launches, we continue to see significant growth opportunities for our emissions products as we expect to take advantage of powertrain transformation in North America and increasingly stringent emission regulations in China. Shifting our focus to Electronics and Stoneridge Brazil. We are launching two large driver information systems programs next year. The first is an extension of an existing global program with peak annual revenue of over $55 million. The second was a conquest award that will provide $38 million of peak annual revenue with a launch timeline early next year. These programs will be followed by two smaller programs, including one in Brazil, worth approximately $18 million of peak annual revenue. Over the next three years, we expect to launch driver information system programs resulting in revenue of over $110 million annually, of which approximately half is incremental to our existing programs. Our first two OEM MirrorEye programs will launch in early 2021 with peak annual revenue of approximately $22 million, a relatively conservative take rates. Our largest global MirrorEye program, as well as the smaller North American program, representing $50 million of additional revenue at modest take rates, will launch in 2023. These MirrorEye programs do not include the potential for additional retrofit and pre-wire revenue as I just discussed. In total, the aforementioned programs represent almost $250 million dollars of peak annual revenue that will launch over the next three years, including $190 million of incremental business awards. These awards comprised just a piece of our total backlog over the next five years. We will continue to focus our resources on executing these program launches and accelerating progress in these technology areas. Turning to Page 10. In summary, during the second quarter, we executed on our plan to limit the impact of significantly reduced revenue and maintain a strong balance sheet without impacting our future growth opportunities. We expanded our MirrorEye retrofit in pre-wire activities and continue to focus our resources to drive profitable growth of the company. We will continue to execute on the things that we can control and respond effectively and efficiently to the changing macroeconomic environment. Our long-term strategy remains robust and we remain well-positioned to outperform our underlying markets. With that, I'll turn it over to Bob to discuss the financial results in more detail.
Robert Krakowiak: Thanks, John. Turning to Slide 12. Sales in the second quarter were $99.5 million, a reduction of 45.6% versus the first quarter. Adjusted operating loss was $19.1 million or negative 19.2% of sales, which resulted in second-quarter decrementals adjusted operating margin of 30.1%, which was in line with our expectations. Due to the continued uncertainty regarding the expected impact of the pandemic, we will not be providing updated 2020 guidance this morning. However, we will continue to provide detail regarding our expectations for the remainder of the year. Based upon the latest IHS and LMC projections, our weighted average end markets in the second half are expected to improve slightly versus the forecast we provided during our first-quarter earnings call. As John outlined previously, we expect our third-quarter revenue to be in line with the production rates that we saw at the end of the second quarter, were sales in June were approximately $51.5 million. While our decremental margins in the second quarter were roughly 30%, we expect second half incremental contribution margins to improve to approximately 35% relative to the second quarter. As we leverage our cost reduction actions and the anticipated ramp-up of production for the remainder of the year. Due to the amendment of the credit facility in the second quarter, we expect interest expense to increase by approximately $0.5 million quarterly over the next year based on our current debt position. Given the unusual cadence of expected earnings this year, we expect our third quarter tax rate to be significantly different than our previously guided rate of 20% to 25%. Based on the current view of expected earnings, jurisdictional mix and specific tax provisions around the world, we are expecting total tax expense in the third quarter to be approximately $0.5 million. Finally, net debt increased by $11 million in the second quarter, which was better than our previously outlined expectations of $15 million to $20 million. We expect that cash generation in the third quarter will at least offset the increase in net debt in the second quarter, driven by ramped up production and proved inventory management. Page 13 summarizes our key financial metrics specific to Control Devices. Control Devices second quarter sales were $48.6 million, a reduction of 50.5% versus the first quarter. The reduction in sales was primarily driven by production shutdowns at customer facilities in North America. Despite significantly reduced sales, direct material costs as a percentage of sales remain consistent with the first quarter. Our performance was in line with our expectations with decremental adjusted operating margin of 31.2% relative to the first quarter. This resulted in adjusted operating income of negative $5.6 million for the quarter. As we move into the second half of 2020, we expect the production ramp-up in June will drive significantly improve revenue in the third and fourth quarters. We are expecting continued operational improvement, including leverage on reduce labor and overhead to drive improving gross margin for the remainder of the year. Finally, we expect to maintain and leverage SG&A reductions for the rest of the year to improve operating margin in the third and fourth quarter. Page 14 summarizes our key financial metrics, specific to electronics. Electronics' second-quarter sales were $47.6 million, a reduction of 40.4% versus the first quarter, which was primarily driven by production shutdowns or significant reductions at customer facilities in both North America and Europe. Despite significantly reduced sales, we were able to reduce direct material cost by 140 basis points versus the first quarter, which helped drive decremental adjusted operating margin of 34.1%. Adjusted operating income decreased by $11 million relative to the first quarter. Decremental margins were slightly higher for electronics, as we maintained our engineering spend to support future program launches and technology development. As John outlined previously, with the strength of our balance sheet and our ability to manage through the crisis, we did not need to sacrifice any of our future growth initiatives by reducing development resources or support. We will continue to focus on reducing material costs to drive improved gross margin as production returns. We also expect to leverage reduced SG&A expenses as we continue to invest in the resources necessary to support future program launches and technology development. Page 15 summarizes our key financial metrics, specific to Stoneridge Brazil. Stoneridge Brazil's second-quarter sales of $7 million declined by approximately 52% relative to the first quarter. Gross margin improved by 430 basis points. Our second-quarter sales were concentrated on service sales rather than product sales, driving a significant reduction in material costs during the quarter. Despite the significant revenue reduction, operating profit declined by less than $1 million relative to the first quarter, which resulted in a decremental operating margin of less than 12%. We anticipate a ramp-up in product sales in third quarter that will result in a return to a more normalized gross margin profile for the remainder of the year. As customer demand and production ramps up in the second half of the year, we expect operating margins to improve gradually on fixed cost leverage for the remainder of 2020. Turning to Page 16, at the end of the first quarter, we had net debt of approximately $82.5 million or approximately 1.1 times our trailing 12-month adjusted EBITDA. Net debt increased by approximately $11.1 million in Q2, resulting in net debt of approximately $93.6 million or 2.3 times trailing 12-month adjusted EBITDA. As at the end of the quarter, we had cash balance of approximately $72.4 million and approximately $237 million of undrawn commitments resulting in over $300 million of liquidity. Due to the expected financial impact of COVID-19 resulting from significantly reduced production, during the second quarter, we amended our existing credit facility to waive several financial covenants, including our net debt leverage compliance ratio until the second quarter of 2021. As a result of the amendment, our interest rate will increase resulting in an additional $0.5 million of interest expense on a quarterly basis over the next year based on our current debt position. Our 2020 cash flow outlook remains strong as we expect to generate cash in the third quarter to at least offset the increase in net debt we incurred during the second quarter. We will continue to take the appropriate actions to ensure that our cost structure is right-sized for our current outlook and to ensure we effectively manage our cash position, including reducing and managing inventory efficiently given the change in production environment. Stoneridge remains well-positioned with relatively low leverage and significant available capital to withstand pandemic. Moving to Slide 17. In closing, I want to reiterate that we are pleased with the operational improvements we drove during the second quarter that reduced the impact of COVID-19 from an earnings and cash flow perspective. Our outlook remains robust for the remainder of the year, including a return to cash generation in the third quarter. That said, we expect continued headwinds related to the global impact of the pandemic, and we'll continue to respond decisively as the macroeconomic environment evolves. Storage is going to be driving shareholder value, and that focus will remain at the forefront of all of our strategic initiatives. With that, I will open up the call to your questions.
Operator: [Operator Instructions]. And your first question comes from the line of Justin Long with Stephens.
Justin Long: Thanks for all the color on the third quarter, it looks like based on the revenue commentary, something in that $155 million range and maybe around breakeven from an operating income perspective is what you're expecting. But looking into the fourth quarter, I was wondering if you could give any color there. It seems like based on the industry forecast you laid out as something that's kind of sequentially flat from a revenue perspective 3Q to 4Q, is what we should be expecting, but would love to get any directional color you can provide on that and maybe any fourth quarter cash flow thoughts, if you could provide that as well.
Robert Krakowiak: Yes. So, Justin, if you think about the comments that we made last quarter on the call, so last quarter we had said that the -- our end markets were down about 23% relative to the $760 million guidance that we originally provided. So we have -- what we have said today is that our end markets have improved slightly by about 1.3% relative to our first quarter guidance. So I think with those numbers, with the run rate that we talked about, the $155 million based upon the current IHS and LMC for Q3. And with that additional bit of guidance, you should be able to -- really kind of backing our expectations for the fourth quarter, but they're not in line with what you're saying.
Justin Long: Okay, that helps any -- anything on the cash front that you can provide for 4Q?
Robert Krakowiak: So on the cash, I do want to -- I want to make a couple of comments generally on cash. And we've been talking about it in a number of investor events that we've attended. We're really pleased with the progress that we're making with respect to free pack -- free cash flow generation. If you look at the investments -- the technology investments that the company has made with ERP systems, it is providing much more granularity to our op -- to our operations team, and which is allowing us to get into another level of detail in terms of managing our working capital. And we're -- obviously, we were able to exceed our goal, from a cash flow generation point of view. I said $15 million to $20 million, but in Q2, that was $11 million.  And now we're saying we're going to at least offset that in the third quarter, which is quite a bit better than what we had mentioned before. A lot of adjustments is just being driven by the fact that our -- we have taken this downturn and the slowdown in our business as an opportunity to really do a lot of great work with this new system that we have, and really getting a lot of detail and really manage it at another level. And we'll start to see it on the working capital side. As a CFO, that's something that's really exciting to me, so. We're not going to give you specific guidance around the fourth quarter cash flow, but if you think about those -- the incremental contribution margins and our cash conversion rate, our historical cash conversion rate, that -- you should be in line, I think probably a little bit better than that based upon the additional work that we're doing on inventories.
Justin Long: Okay, great. That's helpful. And then the slide on the awarded program launches was something that was pretty helpful just laying all of that out. And, John, you gave some color there, but I was wondering if you could just remind us about your thoughts on how long it takes to ramp to peak revenue for these contracts, and just generally, the length of these contracts. And then maybe, on the incremental margin front, you increased your expectation in the back half as we look towards these program launches, is a higher incremental margin framework the right way to think about things the next several years in a recovery?
Jonathan DeGaynor: I mean, there's a lot in that question, Justin, but thanks for the question. The -- every program and every customer are different, and obviously, the commercial vehicle versus the passenger car side is also different. But from a typical program award, it's a couple of years before you get started production. And then once you get to the start of production, it's usually 12 to depending on the car program or the truck program, it's 9 to 15 months' worth of ramp-up time. So, we -- what we see, then, with length of program is particularly with Powertrain side and Drivetrain side, on the passenger car is five years and on trucks, it's longer.  So, when we talk about having $190 million of incremental business from a peak annual revenue basis, you can think about that as an increase over a three to five to seven-year period with the sort of technologies and the customer base that we have. So, it's -- we recognize and we talk about awards. And I think anybody that's been following our story understood that outside the pandemic, we knew that 2020 was a challenging year, because we had things rolling off and we were just in the process of launching. What we're trying to lay out for everybody is, we get the benefit of the economy coming back and we get the organic impact of all of these launches that will be happening in 2021 and in the subsequent years. Really, that's what we've been talking about for the last couple of years and we're now restarting to see all those things come to fruition, launch and ramp-up [Technical Difficulty]. 
Scott Stember: John, maybe talk about the pre-Wire opportunity here, it seems, obviously, this is a way for fleets not to have to wait a couple of years for the MirrorEye product on their newer trucks. If you could just talk about how this -- does this change the overall OEM opportunity that you've talked about in that $250 million range, and maybe talk about the margin profile of pre-wiring a truck and having it installed at the beginning of the life versus having it done on the -- totally on the OEM floor down the road.
Jonathan DeGaynor: So, Scott, thanks for your question. A couple of things to think about is, because of the trucks are a piece of production equipment, anything that can be done to make that truck more robust and more predictable is a benefit and the fleets are going to want that. The ability to do the wiring in place in the factory before it leaves the factory is a way to reduce risk for the fleets. So that's piece number one. Secondly, it's a demonstration that our fleets are asking the OEs to prepare their trucks this way because the OE would not do it if there were not a market poll, so that's piece two. Piece three is it's another example of we go from what do we do to retrofit trucks that are on the road today to making it easier to retrofit future trucks until such time as the [indiscernible] regulations are changed where a truck could leave the factory without mirrors. Remember that our FMCSA exemption is only for post factory vehicles. So currently, trucks must be shipped with mirrors. But this pre-wire option really becomes part of how do you facilitate that transition more rapidly and set the groundwork for what happens when mirrors can be removed from the trucks. So we view this as a very important step. It's a signal of what the fleets want and a signal that the OEs see the benefit of doing it.
Scott Stember: Got it. And you talked about the sensors about $30 million leaving the equation here on an annualized basis. Can you maybe just talk about how we should be looking. I know you gave the quarterly number of Q3 for revenue, but the cadence of the wind-down heading into next year?
Robert Krakowiak: Yeah. So you -- so this is a decision that we -- we've made. We've notified our customers, we work on transition plan, but in these situations, out of respect for our customers, this isn't a -- we don't call them and tell them, hey, we are stopping production tomorrow. It's an orderly transition, so we won't see a revenue change in this in the very near term. When we give you the $30 million, it's really for modeling future state revenues post-exit [Technical Difficulty]. 
Operator: And your final question comes from the line of Gary Prestopino from Barrington Research.
Gary Prestopino: Couple of questions here, just on the awarded program launches, at the state of the world is where it is right now with the pandemic, and it looks like it's reaccelerating in some locales. Is there anything in -- with these scheduled launch dates that could get pushed back if we stay where we are right now, which is looking like things are getting worse than better?
Jonathan DeGaynor: So, Gary, I mean, we monitor those situations with our customers on a regular basis. As we said in the last call, we have not seen any material change in launch schedules from either our commercial vehicle or our passenger car customers, but could it happen? Of course, it couldn't happen. We haven't seen any platforms that have been canceled or any programs that have been materially delayed.
Gary Prestopino: Okay. I'm just writing this down. Hang on. And then the last question would revolve around, within your three lines of business, are you happy with all of the segments, products or whatever, that you have there? I guess what I'm getting at is do you anticipate exiting anymore kind of lower margin or low return businesses within each three of the three business segments?
Jonathan DeGaynor: Gary, as we said, we evaluate our product lines on a continual basis. We're happy with where we're at. We don't see any other material portfolio adjustments at this point, but I think we've demonstrated, over the last couple of years, that we will prune and adjust our portfolio as appropriate and we look at a highest and best use of our resources to drive growth and drive shareholder return. And at this point, we don't see any additional changes, but that doesn't mean it won't happen in the future.
Operator: And there are no further audio questions. I would now like to turn the conference back over to Mr. Jon DeGaynor for closing statements.
Jonathan DeGaynor: Thanks very much and thank everybody for your participation in today's call. I just wanted to, in closing, assure you that our company is committed to driving shareholder value through our strong operating results, profitable new business that we talked about and really focused deployment of our available resources. This management team will respond efficiently and effectively to manage and control variables that we can impact and continue to drive strong financial performance. We're confident that our actions will result in continued success for the balance of 2020 and beyond. And again, I appreciate your attention. Thanks very much.
Operator: Well, ladies and gentlemen, this does conclude today's conference call. Thank you for participating. You may now disconnect.